Operator: Good afternoon, and welcome to the NAHL Group Plc Investor Presentation. [Operator Instructions] Before we begin, I'd like to submit the following poll. I'd now like to hand you over to James Saralis, CEO. Good afternoon, sir.
James Saralis: Thank you, Lilly, and good afternoon, everyone. I am James Saralis. I'm CEO of NAHL Group, and I'd like to welcome you to NAHL's interim results presentation. This covers the 6 months to the 30th of June 2025. We released our interim results on the 24th of September, and we're going to give you a bit of an overview of those results today and try and answer your questions. So with me here today is Chris Higham, the Group's CFO. And we're going to work through the presentation, which should be on your screen now and is also available in the Investors section of our website. That's www.nahlgroupplc.co.uk. I'm going to take us through the highlights for the first 6 months of the year. And for those of you who are new to the business, I'll give you a short introduction into who we are and what we do. I'll then hand over to Chris to present more detail on our strong growth in profitability and cash generation. Then we'll dig into the results of each of our 2 trading businesses in more detail, and we'll finish with an outlook. There should be plenty of time for questions at the end. And in fact, I can see that we've already had some questions come through. So if you do want to submit a question, please do so, and we'll try to answer as many as we can. So without further ado, let's get started. So first of all, I'm pleased with NAHL's solid performance in the first half. The group has delivered a performance in line with the Board's expectations, with strong growth in profitability and cash generation as well as a reduction in net debt to a 10-year low. Revenue for the group was in line with the previous year at GBP 19.2 million, and profit before tax increased by 289% to GBP 1.9 million, which included an 89% increase in the operating profit for our Consumer Legal Services division. Basic earnings per share was up 3p -- sorry, was 3p, and that was up over 300% on last year. And cash generation remained very strong, buoyed by the growth in cash from settlements in NAL, with free cash flow up 119% at GBP 1.5 million. This allowed us to reduce our net debt to a 10-year low of GBP 5.6 million. That was down from GBP 7.1 million at the start of the year. If I look at the operational highlights for our 2 divisions, well, in our Consumer Legal Services division, the turnaround of our Personal Injury business continues. And I'm pleased to report that lead generation has stabilized after a challenging year in 2024. I mentioned that underlying operating profit was up 89% to GBP 1.6 million and GBP 1.4 million of that came from our Personal Injury business, which was double what it did in the first half of 2024, having rebounded well in the year. Our integrated law firm, National Accident Law, or NAL is having a strong year. NAL settled 1,648 claims in H1, which generated GBP 5.3 million of cash. That was 33% more than last year. The business also delivered a 57% increase in average settlement values, which we'll talk more about later on. As I said earlier, the lead generation has stabilized after a challenging year last year, and the team have effectively managed inquiry acquisition costs to under historical levels, saving GBP 1.3 million in marketing costs. In total, the business generated 6,552 new inquiries and a total of 2,200 new inquiries were passed into NAL, which we estimate will be worth GBP 2.9 million in future revenues and cash by maturity. Turning to our Critical Care division then, and revenues, operating profit and cash from operations all increased in the first half, and the business maintained its strong operating profit margins at 31.5%. I'm pleased to report that our expert witness services continue to experience high demand. And in case management services, while the market has been more challenging, but the management team has taken several steps to address these challenges, and we're monitoring progress with these closely. One of these initiatives that I'm particularly excited about is the launch of a new proposition called Bush & Co. Kids, which is designed to deliver outstanding child-focused support for our younger clients, and I'll expand more on that later in the presentation. So those are the highlights so far in 2025. And before I hand over to Chris to talk through the results in more detail, I thought, I'd provide you with a brief recap of who we are and what we do, particularly for those of you who are new to our business. Well, NAHL is a leader in the U.K. consumer legal services and catastrophic injury market. We help people who've had an accident or suffered medical negligence that wasn't their fault to get their lives back on track. In our 30-year history, we've helped over 1 million customers access over GBP 1 billion in compensation by providing legal support and rehabilitation services. We provide services and products to individuals and businesses through our 2 divisions, which we call Consumer Legal Services and Critical Care. In Consumer Legal Services, we're one of the U.K.'s leading providers of Personal Injury advice, services and support. And we have a strong heritage in this market. In fact, we've helped more people injured in accidents in the U.K. than anyone else. Through our trusted brands, National Accident Helpline and Underdog, we guide accident victims through the steps of making a Personal Injury claim. We triage those claims. And for those that we think have legal merits, we either process those claims in our own fully integrated law firm, National Accident Law, or we pass them to one of our panel of specialist third-party law firms or to our joint venture, which is called Your Law, for processing. Now distributing claims to the panel provides us with access to quick profit and cash flow with firms typically paid in 30 days. However, appetite for this service has declined over the past 10 years due to regulatory pressures on law firms, which ultimately led to us launching our own law firm in 2019. And if we process these claims ourselves in National Accident Law, then we achieve higher levels of profit, but with a longer working capital cycle as the claims take an average 2 to 3 years to process, and the joint venture helps us to balance those 2 extremes. Also in this division, we operate a small, but profitable property searches business called Searches UK. Now in our other division, Critical Care, our Bush & Co. business is a market leader in expert witness reports, immediate needs assessments and case management rehabilitation services in the U.K. We support children, young people and adults following a catastrophic injury or clinical negligence. And Bush & Co. deals with the most serious injuries, often leading to life-changing disabilities. And these include acquired brain injuries and spinal cord injuries, with claim settlements exceeding GBP 500,000 and usually into millions. We also launched an award-winning care proposition in 2021, which is growing rapidly and offers peace of mind for customers who directly employ nurses and carers and happens generally after their claim is settled. So those are our 2 trading divisions. We also have a centralized Shared Services division, which provides strategic leadership and support with fund and governance. And over the years, we've built an inclusive and supportive culture with a strong focus on employee engagement, and that helps us to recruit and retain top talent across the U.K. We're proud to have been recognized externally for this culture, having been awarded the gold standard by investors and people and included in Best Small Companies list in recent years. So hopefully, you should now have a good overview as to who we are and the progress that we've made so far in this year. And I'm now going to hand over to Chris, who's going to take you through a review of our financial results.
Christopher Higham: Thank you, James. Starting with the P&L. Revenue was broadly flat with the first half of last year at GBP 19.2 million. We saw a 2% growth in Critical Care, whilst Consumer Legal Services were 3% lower. And within that Consumer Legal Services number, Personal Injury revenues were 5% lower, and this was partially offset by a 7% increase in our Searches business. In underlying profit terms, profit grew by over 70% to GBP 3.2 million, with underlying operating profit margin improving from 9.6% to 16.5%. A key contributor to this was the Consumer Legal Services division, which grew operating profit by 89% to GBP 1.6 million in the period. This was largely driven by cost savings alongside continued improvements within the law firm. Operating profit in Critical Care was up 1% at GBP 2.6 million, and we saw a GBP 0.5 million reduction in amortization relating to business combinations following full amortization being reached in 2024. We incurred GBP 0.2 million in exceptional costs relating to the aborted sale process for Bush & Co, and this took statutory operating profit to GBP 3 million. Profits attributed to noncontrolling interests was slightly lower than last year at GBP 0.8 million, and net interest has fallen 50% to GBP 0.2 million in the period due to the reduction in net debt. This all related -- this all resulted in an underlying operating PBT of GBP 2.1 million, 287% higher than the GBP 0.6 million delivered in the first half of 2024. Statutory PBT was up 289% to GBP 1.9 million. Moving on to cash. We enjoyed another strong period on cash generation. Free cash flow, as James has already outlined, was 119% higher than last year at GBP 1.5 million. Underlying cash generated from operations grew 33% to GBP 3.2 million and cash conversion was again strong at 102%. We continue to manage cash in the Personal Injury business with investment in new cases, and the business was again cash generative, delivering GBP 0.6 million of cash after drawings paid to the LLP members. This is in part driven by continued increase in cash collection from settlements, which were up again 32% to GBP 5.3 million in the period. We generated GBP 2.3 million of cash in the Critical Care business, that was 7% higher year-on-year, and there were GBP 0.4 million in cash savings from the Shared Services division. Finally, the free cash flow, as James already outlined, meant our net debt reduced further to that 10-year low of GBP 5.6 million, and that compares to the GBP 9 million we saw at the end of the first half last year and the GBP 7.1 million we saw in December 2024. I'll now pass back to James to give an overview of the Consumer Legal Services division.
James Saralis: Thanks, Chris. Turn to the next slide. So our strategy for growth in the Personal Injury market remains to build a sustainable integrated law firm, growing the value of claims that we process ourselves in NAL to generate higher returns. And we're making good progress. But coming into the year, I felt like we could do even better. And for that reason, I made a number of changes to the leadership team in this business and established a new senior management team comprising of heads of the departments to help drive change in the business. And that team are focused on delivering 7 strategic priorities. This includes maximizing the return on our marketing spend. It includes developing more value from our book of claims in NAL, realizing the full panel opportunity and delivering exceptional service to our customers. And I'll give a more detailed update on these priorities with the final results. But I'm pleased to report that we're making good progress, and you can start to see that in the results that we're achieving. And revenues in the first half decreased modestly to GBP 11 million. That was due to a 5% reduction in revenues from the PI business, whilst Residential Property revenues grew by 7%. But our underlying operating profit, as Chris said earlier on, increased 89% to GBP 1.6 million, with Personal Injury contributing GBP 1.4 million. And after deducting the noncontrolling interest, which relates to our joint venture, the division generated profit before tax of GBP 0.8 million, and both of our Personal Injury and Residential Property businesses were cash generative. I talked earlier in the year about challenges that the business faced in lead generation in 2024, and these were caused by a contracted market and really compounded with a series of major changes to Google's search algorithms, including the launch of AIO. Now these had a really significant impact on the organic search results for firms across our sector, but also, in fact, across all sectors. And at NAH, while we fared relatively well through these changes, and we held our search ranking positions, many of our competitors across the industry responded by aggressively investing in paid search, and that led to a spike in costs for everyone. And we were impacted by this in NAH and also through some of our partnerships, and that resulted in inquiry acquisition costs increasing to levels that we've never seen before in our 30-year history. So that's a bit of a recap, I suppose, about some of the challenges that we've been facing in the last 18 months. Now we responded to this challenge, and we've been augmenting that response further in the first half of this year. And just to give you a bit of a flavor for what we've been doing. We've invested in our internal marketing team. We've recruited a Marketing Director who started with us in January to help us develop our marketing strategy, and we recruited a Head of CRO and SEO who started this month and further strengthened our paid search team. Secondly, we have developed a much more targeted approach to Google search, focused on the quality of leads rather than quantity by tracking those through to claims and improving our understanding of the outcome of those claims so that we can create a feedback loop to prioritize our search criteria. Thirdly, we've been invested in organic search, and we've rewritten the content across our website. And we've started investing incrementally in brands with the relaunch of our Underdog website, which will help us to drive more volume in 2026. And finally, we've developed a number of new partnerships that should help us to reduce the risk of disruption from Google changes in the future. So we've covered a lot of ground in the last 12 months, but there's certainly lots more work to be done in this area. Our focus in the first half was to stabilize and reduce acquisition costs. I'm pleased to say that the team's efforts have had a positive effect. And you can see on the chart on the bottom right of this page that acquisition costs peaked around September 2024 at a level that was around 1/3 higher than the historical trend. And since then, through the steps that I just mentioned, we've managed to get that back down, and we ended the period at around 5% lower than that historical average. With regards to volume, well, I've explained previously that the panel opportunity has reduced materially over the past 10 years, and it was that which led us to launch our own law firm in 2019. However, whilst fewer in number than before, we continue to work with several high-quality third-party law firms, and we distributed over 2,700 inquiries to the panel in the first half of the year. And demand was fairly consistent throughout the first half, but it was significantly lower than last year. So whilst we satisfied all of that demand we received, that was the main reason that the total inquiry numbers reduced in the chart on the top right of the page. We continue to distribute work to Law Together, LLP, our joint venture law firm, which is operated in partnership with HDC Solicitors, and Law Together performed really strongly in the period, and we distributed over 1,600 inquiries into the firm that compared to over 1,900 in the equivalent period last year. And 2,200 new inquiries were passed into NAL processing, which represented 34% of the total, that compared to 27% last year. And overall, this was lower than the number of new inquiries placed into NAL last year, but we have to try and manage the recovery in lead generation and balance that with short-term profitability as well. And finally, I'm pleased to say that because we are being more targeted in our search criteria, we're seeing an improvement in the quality of work that we're generating, which means that claims that we're generating are more valuable, and this is better for our panel firms, better put all together and it's better for us in NAL as well. So I'm now going to hand back to Chris, who's going to take us through the performance of the claims book in NAL. Chris?
Christopher Higham: Thank you, James. Yes, once the inquiry passes across to -- well, some of those inquiries, 2,200 of them passed across to NAL in the first half of this year, we track the performance on those on a cohort basis. And I think just looking into the chart, I think it's worth saying that we've witnessed further improvement within the case performance over the past 6 months. We've seen that across all cohorts. I've already trailed that a little in the GBP 5.3 million cash that we collected in the first half. We're also seeing the individual value of the claims that are settling deliver higher returns than we initially expected. So the chart on the screen, I'll just spend a few minutes taking you through that, what it means regarding the book of cases that have been worked within NAL. Some of you will be familiar with these charts already, but for those who haven't seen them before, I'll just explain what they're showing. So when we look at the case progression performance of the law firm, we do this by grouping the cases that have been taken in on a cohort basis. And the cohort is based on the year that the claim started. So in this case, on the screen, it's all the case -- all the inquiries that went into the law firm in 2019. So in that year, we placed 2,415 new inquiries into the law firm, and we expected those successful claims -- we expected the successful claims from those cases when they settled to generate us GBP 2.3 million in future revenue and cash when they settled. And you can see that from the pink bar to the left-hand side. The gray bars, they show the amount of cash that's actually been collected. So James outlined earlier on that these cases have a long life cycle. Some of them can take many years to settle. So this tracks the kind of maturity of that cohort, if you like, when the cash came through. So for example, GBP 0.2 million in 2019 was the first year and GBP 0.9 million in 2020 and so on. To date, we've collected GBP 3.2 million of cash from 1,225 settled claims in this cohort. And you'll already realize that, that's far surpassing the GBP 2.3 million initial expectation. We've already seen this by the time we got to December's results and previously uplifted our estimates by GBP 1 million on this cohort. But given there are still 136 claims ongoing, and we continue to see strong underlying case values, we have uplifted the valuation expectation by a further GBP 0.1 million. That takes the total revaluations on this cohort to GBP 1.1 million and the overall cohort value to GBP 3.4 million overall. So those 136 ongoing claims need to generate us GBP 0.2 million in future cash to reach that new expectation of this GBP 3.4 million. Also shown the 2020 cohort, just for context really, it's a similar story that we've seen in 2020. Volumes are slightly higher. We placed 3,587 into law firm in 2020 and expected those to generate GBP 3.8 million in future revenue and cash. Since then, we've collected GBP 4.7 million. So again, this surpassed the value of the initial estimate, and that's from over 1,700 settled cases so far. And that included GBP 400,000 cash collected in the first half of 2025. There's 231 claims still to settle and the estimated outturn of that cohort has been uplifted by a further GBP 400,000 in the period, taking the total revaluation to GBP 1.2 million overall, and that moves the total cohort value to GBP 5 million. Similar sort of value still to come. So the GBP 200,000 that we're still expecting to generate from this cohort from those remaining 231 claims, but again, really strong consistent performance that we've seen across both of those years. We've included the charts for the cohorts relating to 2021 to '24 in the appendices that you can look at your leisure, but you'll see it's a fairly similar picture that's building across each of those, which is really pleasing. In terms of the overall picture, so this is a consolidated view of the cases. So this chart tracks the expected value of the new claims when we take them on and then against the cash that we actually generated from settlements in those calendar years. So you recognize some of these figures already. So those in the 2019 section, the GBP 2.3 million in 2019, the GBP 3.8 million in 2020 from the previous 2 slides, they were the initial expectations for all those cohorts when we put the cases in. In 2019, we generated GBP 0.2 million of cash. We generated GBP 1.3 million in 2020 and so on. And what you'll see is from the early years of the law firm, as we invested in new cases, it took some time for the cash to come through and the value of the new claims added was higher than the cash generated in those particular years. We see -- we saw that change last year where cash collected exceeded the value of new cases added for the first time, and we've seen a similar trend in the first half of 2025. James already mentioned, we added 2,200 new inquiries into the law firm, and we expect those -- successful cases from those inquiries to generate us GBP 2.9 million in future revenue and cash. At the same time, we've generated GBP 5.3 million of cash from the settlements of older cases. I spoke about the increases to cohort expectations relating to 2019 and 2020, but we've seen a similar dynamic in all the other cohorts, and that's taken the revaluation in the period to GBP 1.1 million. This has been driven by an improvement in case settlement values. We witnessed that improved 57% year-on-year. So that's a huge increase that we're seeing come through, and that's partly delivered by increased litigation rates that we're seeing in the law firm. So we're becoming a lot more tactical in terms of how we're deploying that litigation. So these are 2 impacts, really drives higher settlement values for our customers, but equally drives higher revenues for the law firm. And the total revaluation that we've seen to date since the law firm started is now stands at GBP 6.2 million. So it's really pleasing. At the end of the period, NAL was processing 7,530 ongoing claims. That's around 11% lower than the figure in December 2024. And these claims have an expected embedded value of GBP 13.1 million of future cash to come and around GBP 9.6 million of future revenue yet to be recognized. Overall, it's really pleasing to see the performance metrics in the law firm continue to improve and the material impact that this is having on case revenues. As volumes have been lower in the past 12 to 18 months, the number of open cases has fallen, and to stop this falling further and for NAL to reach its medium-term potential, the business would require investment in a greater number of inquiries going forward. I'm going to pass back to James who will cover off Critical Care.
James Saralis: Thanks, Chris. So let's now turn our attention to our other operating division, which is Critical Care. Bush & Co. had another 6 months of growth, with revenues up 2%, operating profit up 1% and cash from operations up 7%. And just to remind you that much of this revenue, the revenue that's in the business is recurring revenue as we provide clients with case management and care services over a number of years. We deliver some of our services through self-employed associates, and we've had a continuous focus over the past few years in recruiting the best and more experienced associates in key specialisms across the country. And I'm pleased to report we've had another successful 6 months of delivering against this. At the end of June, we were working with 226 expert witness associates, 15% more than the start of the year and 142 associate case managers, which is 8% higher in the period. The business continued to experience high demand for its expert witness services with revenues for this service line growing 11% in the period. The number of expert witness reports completed and issued to customers increased by 13% to 719 reports. And we have a strong pipeline of future work with new instruction numbers for expert witness reports broadly level with last year at 667 instructions. But the most important numbers on this page are the unbelievably strong customer advocacy scores with 98% of customers saying that they were satisfied with our work, and 100% of our customers saying that they wouldn't hesitate in instructing us again, which is really pleasing. So clearly, the demand is there. It's fueling our growth and our services are highly valued by our customers. And that's why it's so important that we continue to grow our capacity by increasing the network of associate expert witnesses in key specialisms and we're going to continue to focus on that. In case management services, while the market has been more challenging, but the management team has taken several steps to address these challenges, and we're monitoring progress closely. Revenues were down 9%, and the business delivered 210 initial needs assessment reports or INAs in the period. Instruction numbers at 237 were broadly unchanged from last year. And at 30th of June, the business was servicing 1,157 ongoing case management clients. That was down from 1,388 a year prior. Now that number is important and it's the ongoing clients that generate recurring revenue. Pleasingly, the team again delivered remarkably high satisfaction levels from our customers and 98% advocacy scores. Now, just to dig a little bit deeper into case management for a minute. The reduction in case management revenues that we're experiencing was down to 2 factors. So firstly, we'd experienced a gradual decline in new instructions over the past few years. And instructions drive INAs and the majority of these INAs go on to result in ongoing case management. So it's a key metric. Secondly, I referenced the recurring revenue stream earlier, but we've witnessed an increase in the rate of discharges from ongoing case management over the past couple of years, which reduces the number of cases that our case managers can work on and subsequently bill on. Now our analysis suggests that new instructions from insurers, in particular, fell, that they fell by 28%, which appears to be driving a lot of this trend. And the work that we've been getting from insurers tends to be less complex, which results in earlier discharges or a shorter recurring profile. And the management team has taken several steps to address these challenges, including the recruitment of a new account management role to better support our insurer customers. We've been providing them with the MI that they require, ensuring that we get on their panels, et cetera. And this should all help to increase instruction numbers. Also, I mentioned earlier that we're focused on growing the number of associate case managers, which has increased from 132 to 140 during the period, and ensuring that we recruit the right individuals with the right experience and in the right regions to support our customers. We've also implemented an improved triage process for matching associates to new inquiries, and that's helped us to improve conversion rates from inquiry to instruction. But I think the most promising new initiative for me is the introduction of Bush & Co. Kids proposition that was launched at the end of last year. And this service aims to deliver really outstanding child-centered support for our clients that's safe and effective and gives the child or the young person a greater voice through their rehab. It's been designed to complement our partnership with the Child Brain Injury Trust, where, together, we offer the U.K.'s leading case management service focused solely on childhood acquired brain injury. And the reason that this focus on children and young people is strategically important is because these cases are generally more complex and require more specialized case management support for longer. And this results in higher levels of monthly billing and longer case durations as well. Now Bush & Co. have worked on children's cases for years. You've heard me talking about this previously. But we hope that pulling it all together as a more coherent proposition with increased focus and recruiting more people who specialize in this area should result in accelerated growth in this really important segment of the market. And so far, the response from our customers has been quite encouraging. Finally, in Critical Care, Bush & Co Care Solutions has also had a good first half and grew revenues by 26% to GBP 0.4 million. The number of ongoing care packages, which result in monthly recurring revenues, they increased from 31 at the start of the period to 34, and the team continued to provide a great service and to build a great reputation in the marketplace. Just to remind you, they won the Support of the Industry Award at the 2024 [ PIs ]. So that's a quick overview of the results for the first half. If I turn to the outlook, well, we've been encouraged so far by the performance in the second half, and we remain confident in delivering on market expectations for the full year. So in July and August, in Consumer Legal Services, we generated 2,452 new inquiries. That was 12% higher than the monthly average in the first half, and we did add a lower inquiry acquisition cost. And NAL collected cash from settlements of GBP 1.5 million compared to GBP 1.4 million in the same period last year. In Critical Care, we issued 230 expert witness reports in July and August compared to 239 in the same period last year and 81 INA reports compared to 88 last year. We've also further strengthened the Bush & Co. Management team with a new divisional Finance Director, who will support our growth plan for case management. And at a group level, net debt has fallen further to GBP 5.5 million at the 31st of August. That was down from GBP 7.1 million, just to remind you, at the start of the year. So that brings the formal presentation to an end. I'd like to thank you all for joining Chris and I for NAHL's interim results today. We've got some time to take questions. But for the moment, I'm going to hand you back to Lilly.
Operator: James, Chris, thank you very much for your presentation this afternoon. [Operator Instructions] Just while the company take a few moments to review those questions submitted today, I'd like to remind you that recording of this presentation along with a copy of the slides and the published Q&A can be accessed by your investor dashboard. As you can see, we have received a number of questions throughout today's presentation. Can I please ask you to read out the questions and give responses where appropriate to do so, and I'll pick up from you at the end.
James Saralis: Okay. Thanks, Lilly. We've received a number of questions. So thank you very much for those who have sent in questions. The first one says, could you please provide an update on the time line for the ongoing strategic review and outline the options currently under consideration? Well, since the conclusion of the Bush & Co. sale process, the Board has been working with its advisers to explore alternative options to accelerate value for shareholders. And in terms of those options, I'd say that nothing is off the table. I think we've got a number of strategic opportunities to add scale to our businesses, and we need to carefully consider the best place to deploy our capital. I'd say good progress has been made in our Personal Injury business, which has returned to profitability. But as you saw from the chart that Chris talked you through earlier on about NAL's book of claims, over the past couple of years, we've been realizing more cash from the book than new claims going in, and NAL would require higher levels of investment in new inquiries and case processing if it were to reach its medium-term potential. And at the moment, we're balancing that ambition with selling work to the panel in order to maintain profitability and cash generation. So invested in accelerating our investment in more claims is something that we need to consider very carefully. And in Critical Care, while there's several exciting acquisition opportunities that have come across our desk, it's been quite hard to deliver in the past in this area as we've been capital constrained. But with net debt falling to the levels that we've talked about, I think this now opens up new possibilities. We've also looked at divestments in the past as well. So some exciting opportunities. I'd like to thank all of our shareholders for their feedback. That's always welcome. Their input is always welcome. We're moving at pace on this, but we're not going to be rushed. It's an important piece of work, and I'm not going to put a date on it, but we'll update shareholders as soon as it's appropriate to do so. So the next question is about Bush & Co. The results of Bush & Co. are not as strong as they were last year, and it looks like the market has turned more challenging. Do you think the sale process was a distraction for the team? Well, last year was a very strong year for Bush & Co. and I'm pleased that we're delivering growth again in 2025. I think you're right to say the market is more challenging, particularly in case management. And I've heard that from a number of our competitors, too. We've got some plans in place to try and turn those trends around. We talked about those a moment ago, but we need a bit of time before we see some results. And with regards to the sale process, well, it was unfortunate that we were forced to announce that process so early, but we put a lot of effort in communicating with our people and reassuring them about the future. But whenever you're planning change, there's uncertainty. And I think that it's inevitable that uncertainty about the future of the business is going to serve as a distraction to the team. But that's in the past now. We've been having some great conversations with the management team about the future of the business, and I'm very excited about the future of Bush & Co. and prospects over the coming years. So hopefully, we can pass that now. The next question is, what's the growth potential of Bush & Co. Kids and Care Solutions in the medium term? And how material could these become to group revenue? If I have a go at that, Chris, you can add in as you like. So I'd say, Bush & Co. Care Solutions, that's been growing at 25% to 30% growth rate since we launched it back in 2021. It did GBP 0.4 million in the first half. I think our immediate target is to get that up to GBP 1 million, and I certainly hope to do that over the next 12 months. Bush & Co. Kids, I think the opportunity there really remains to be seen, but we hope that, that's going to lead to more INAs. Those INAs go on to hopefully convert into ongoing case management. And the benefit there is those cases are more complex. So we get more complex cases that we can [ bill ] more for and they last for a longer duration as well. So I think it's an exciting opportunity. That's what I say that.
Christopher Higham: I think that the key point, really, I think for me is the longevity of those cases and the fact it gives us a predictability of revenue going out into the future. So definitely the right area for us to be focusing on.
James Saralis: The next question is from Martin. Given the mixed performance across the divisions, what are management's top priorities to ensure the delivery of full year expectations? Do you want to share your priorities and I can maybe add in as well?
Christopher Higham: Yes, yes. More of the same really, I guess. So we've seen a strong first half on cash. There's more to do. So I think the broker has an estimate or an expectation out there around [indiscernible] coming down to about GBP 3 million at the end of the year. We think that's doable. Yes, so we continue to drive for the same metrics we have in the first half, really. It's push for cash. It is to get as many of those settlements through the law firm as quickly as we can. So we're trying to stop operational leakage wherever we possibly can, and that gives us a profit and a cash benefit. And then in the Critical Care business, yes, the expert witness side of things has been going really well in terms of the growth that we've seen each of the last couple of years. Case management, hopefully with the help of Bush & Kids will start to unlock some of that. That's probably less of an impact on this year and more into the future, but I guess a lot of the initiatives are the ones we've already kind of trialed in this session.
James Saralis: Yes, absolutely. I think, for me, in Critical Care, I think the focus has to be on expert witness, which is driving growth. I think that's something that we need to continue that growth profile, particularly in the short term. Case management, I think it's going to take a little while longer to see the benefit of those changes that we've made, but I'm confident they will come through. And in Personal Injury, it's what we've been doing really, as Chris said. So keeping a strong grip on acquisition costs, incremental volume growth and making sure our continued issuing and the sort of more tactical approach to issuing claims and setting claims as well. Thanks for the question. The next question is around -- so it's what confidence do you have in sustaining earnings growth into FY 2026? Any comments on that, Chris?
Christopher Higham: Yes. So again, I guess a bit of a repeat of some of the early answers really. So in the Bush & Co. business, I think it continues in every [indiscernible] witness growth that we're seeing, there's a lot of demand for work. It's making sure we've got the right experts in place to be able to fulfill that demand. Case management, the Bush & Co. Kids area, the extra investment we've put in the team help unlock some of the case management growth becomes important. So that's, I guess, I could see here, I'd say, on the Critical Care side. On the Personal Injury side, it's a slightly different dynamic on PI, I think it's -- so we aren't putting as many inquiries into the law firm at the moment as we have done in recent years. We are balancing that demand for profit alongside the cash investment that we need to make to grow that book for the longer term. That said, there's still 7,500 ongoing claims that we're working. There's a cash value of GBP 13 million there and profit value -- the revenue value of just under GBP 10 million. And the law firm is performing really well in terms of the operational measures we're seeing. We're seeing higher values come out. We're seeing cases settle a bit quicker than we have done in the past as well. But the tipping point in that business is scale is our friends. There's quite a big cost to being a law firm. You have a big regulatory costs and the back office costs that you need to be in a regulated business. The more we can put in, the more we dilute that fixed cost overhead that we have and the more we can grow the margin. So yes, it comes back to a question of where do we deploy our capital really and should they go to the Bush & Co. business or should they go to the Personal Injury business. And that, again, talks back to the strategy piece that James outlined earlier.
James Saralis: Yes. I would agree with all that. And I think in PI, in particular, at the moment, we do have a good grip on the cost of acquisition, and we've got some further plans to deploy incremental investments to derisk the Google risk around that, around paid search. And in NAL, the business is fairly consistent now in terms of the revenue it generates every month and the claims that settles every month and the cash that, that results in. The question for me is how much investment, how much do we invest in that business because we are gradually running down that book. And if we're to realize the potential in that business, we need to invest a bit more. So that comes down to the decisions that we're taking at the moment, where do we deploy capital, how much we invest in that business and in Critical Care as well. Okay. Next question is about something different. It's about AI and automation. So how much incremental margin uplift could AI and automation deliver across NAL's claim processing? That's a great question. It's a very topical question. And in fact, we are already utilizing AI tools across the business in certainly in pockets across the business, largely to automate repetitive tasks. In marketing, we're using it to enhance some of the copy that's in our website and social media posts. We are using it to compare our website with those of our competitors and identify opportunities to improve. We're using it to try and analyze and block fraudulent clicks on our website to try and drive down the cost of acquisition. In IT, we are using it to deploy code to the website, a number of different areas. Actually, we've developed a key chatbot in our customer service part of the business. We have developed an e-mail data extraction tool to extract attachments from e-mails and file them with claims in our case management system. So there's lots of different pockets that we've been using it. But what we want to do in the second half of the year is take a more strategic view to AI, and we are doing a piece of work around that and just trying to understand where the bigger opportunities are. And so we need to do that work and develop those use cases and the business cases that sit alongside that. But I think it is a really exciting area to develop. I think legal processes are sort of right for this kind of thing, this kind of efficiency tool. And I think we're all quite excited about the opportunity to do that. So that is something we're going to start looking at in the second half of the year in a more strategic sense. And the last question we've got at the moment is from Joshua. Would potential acquisitions and investments in NAL be paid for through cash flow or taking on further debt? So I think up to now, we've been making small investments across the business, and we've been doing that through cash flow and through utilizing our revolving credit facility, which we have, but you would have seen through the slides that Chris put up with our net debt, I'll just bring that up actually. You can see how we've successfully driven down our net debt over the past few years. You can see there the net debt at period end being driven down. So we have quite a bit of debt capacity at the moment, I'd say, given the profitability of the business. And I think that could be utilized to either do potential acquisitions or organic investments. That's part of the conversation we're having at the moment about the future strategy. I think there's a number of opportunities that we've got. But I think whether we spread that capital across multiple parts of the business or we try and focus on one part of the business and have more impact, that's something else we need to consider. So that's very much the focus of what we're talking about at the moment. But we do have debt capacity and there's lots of exciting opportunities I think we've got to deploy that capital. So that brings our questions to an end. We don't have any more questions, but thank you very much for those of you who did submit questions, and I'm going to hand back to Lilly.
Operator: James, Chris, thank you for answering all those questions you have from investors. And of course, the company can review all questions submitted today and we'll publish those responses on the Investor Meet Company platform. Just before redirecting investors to provide you with their feedback, which is particularly important to yourself and the company, James, could I please just ask you for a few closing comments?
James Saralis: Yes. I'm pleased with NAHL's solid first half performance. We delivered strong growth in profitability and cash generation, and we reduced net debt to a 10-year low. The continued turnaround of our Personal Injury business and the stabilization of lead generation has been particularly pleasing. And in Critical Care, the division increased revenues, operating profit and cash from operations in the first half. I'm further encouraged by the group's performance so far in the second half, and I'm pleased to confirm that the Board remains confident in delivering our market expectations for the full year.
Operator: James, Chris, thank you for updating investors today. Can I please ask investors not to close the session as you'll now be automatically redirected to provide your feedback in order that the management team can better understand your views and expectations. This may take a few moments to complete, and I'm sure will be greatly valued by the company. On behalf of the management team of NAHL Group Plc, we'd like to thank you for attending today's presentation, and good afternoon to you all.